Operator: Good afternoon. Welcome to Malibu Boats Conference Call to Discuss Second Quarter Fiscal 2015 Results. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will follow at that time. Please be advised that the reproduction of this call in whole or in part is not permitted without written authorization of Malibu Boats. As a reminder, this call is being recorded. On the call today from management are Mr. Jack Springer, Chief Executive Officer and Mr. Wayne Wilson, Chief Financial Officer. I will turn the call over to Mr. Wilson to get started. Please go ahead, sir.
Wayne Wilson: Thank you, and good afternoon, everyone. Ritchie Anderson, the company's Chief Operating Officer is also on the call today. Jack will provide commentary on the business and I will discuss the second quarter financials and our outlook for fiscal 2015. We will then open the call for questions. A press release covering the company's second quarter fiscal 2015 results was issued this afternoon and a copy of that release can be found in the Investor Relations section of the company's website. I also want to remind everyone that management's remarks on this call may contain certain forward-looking statements including predictions, expectations, estimates or other information that might be considered forward-looking and that actual results could differ materially from those projected on today's call. You should not place undue reliance on these forward-looking statements, which speak only as of today and the company undertakes no obligation to update them for any new information or future events. Factors that might affect future results are discussed in our filings with SEC, and we encourage you to review our SEC filings for a more detailed description of these risk factors. Please note that we will be referring to certain non-GAAP financial measures on today's call, such as adjusted EBITDA, adjusted EBITDA margin and adjusted fully distributed net income. Reconciliations of these non-GAAP financial measures to GAAP financial measures are included in our earnings release. Now, let me turn the call over to Jack Springer.
Jack Springer: Thank you, Wayne. Welcome, everyone, to our call. I would like to congratulate the Malibu team as it continues to deliver winning results quarter-after-quarter and the second fiscal quarter is no different. We are pleased with the continued positive trends in our business. Net sales were up over $55 million and were at historical high for Q2. Net sales were also up 26% over last year driven by strong increases in both, unit volume, including the addition of Australia in the domestic average selling price. As a growth company it is gratifying to note that we also set new Q2 record with gross profit, EBITDA and earnings per share. As you know, we manage the business very effectively and we take pride on executing and hit the operating initiatives and growth targets we laid down in the IPO, in over the past year. This was our fifth consecutive quarter since our initial public offering that we delivered results that were in line or better than our plan. Our second fiscal quarter is an important quarter for Malibu. This is when daily replacing orders for new models and features assessing inventory levels, planning the boat shows and preparing for the peak retail selling season. We work closely with all of our dealers throughout the quarter inquiring the business. As a part of this process, we host our Annual North American Dealer Meeting, which was in San Diego, this year. This meeting introduces the new models, educates our dealers on all of our new boats and features and builds tremendous excitement in the marketplace as we go into that boat show season. By October, we have taken boat show orders for the new model. Through the end of December, we are fulfilling the demand on these orders as well as stock commitments made by the dealers at the beginning of the fiscal year. It is an important quarter for Malibu and it really starts to position us for the rest of the boating year. As we have discussed in fiscal 2015, we have introduced four new or completely remodeled boats and more new features than any time in the company's history. Our new product and innovation engine continues to drive Malibu forward. The boats that we have introduced include the Malibu 22 VLX, the Axis A22, the Axis T23 and the just announced Response LXR. The Malibu 22 VLX replaces the 21 VLX, with everything on this boat's branding from the hall to the deck to the dashboard and all of the features that we have placed on this boat. Axis A22 is our flagship and our best-selling Axis boat model. The Axis T23 is our second traditional bow model following the T22, which was introduced a year ago. The Response LXR was announced just a few weeks ago. It is a new skiing boat that combines high performance with an open bow and a very attractive price. The LXR is 20-feet in length and it combines features of the four time old [ph] braking Response TXI, and the immensely popular Response LX, [ph], which the LXR replaces. The new Response LXR gives our customers yet another great option, so they can determine what ski boat is perfect for their needs. Now, this will not be a high volume model, but already orders have exceeded, where we thought they would be after only four weeks. Initial orders for all of the new remodeled boats were very strong the second fiscal quarter and we have also seen continued strong demand for our best-selling Malibu 23 LSV, which was completely remodeled and debuted last year. We have seen this momentum accelerating to the boating show with both; traffic and orders were up over last year. Although it is still early in the boat show season, we have seen shows consistently up over last year. For a while now, we have believed that we are in the early innings of a market recovery. The boat shows are supporting that and they are supporting it with high quality customers and leads with good sell-through for our dealers. We have had consistent sell-through on all of our models, but as expected the 23 LSV, the 22 MXZ, the A22, the 22 VLX in the T series for Axis have all been strong. Features are another very important part of the performance sports boat segment. As with boat models, we are the far and away leader in the volume and the innovation of new features every single year. We already knew it, but boat shows are confirming our new sports dash with a 12-inch screen and Viper II technology as a homerun. Our integrated search system featuring Surf Gate and the new Power Wedge 2 is the overwhelming market leader and the new G4 tower is the premium must-have option for our Malibu Wakesetter branded boats. Other popular new features this year, include an improved G3 tower, a new caliber [ph] and three new gel coat colors and metallic options for both, the Malibu and the Axis brands. There are so many other new features that improve the convenience and experience for the customer that have been big here at the boat shows as well. Demand for optional features continues to be very strong with Surf Gate and the Power Wedge 2 leading the way. We talk a lot at Malibu about quality performance on the water, innovation and features and this is really what separates us from everyone else in the industry, but it is not just the features themselves that differentiate Malibu from its competitors. It is the way that we integrate these features into a platform that sets us apart. Every innovation on our boat from Surf Gate to the Power Wedge, to the new dash to the Viper II system is seamlessly integrated together to provide the best integrated surfing solution and the wakeboarding solution in the most user-friendly boat on the market. Our competitors are trying to keep up with us by launching individual features, but these are really commodity items. We bring platforms that combine all of our features and innovations in one integrated system unlike anyone else in the performance sports boat segment. The Viper II platform is exclusive to Malibu this year and it serves as a central operating system for all of the controls and the features of our boats. This is an open-ended system that can be upgraded and expanded to accommodate new features and innovations for years to come. In addition to launching new boats and innovations every year, we are always reviewing our supply chain and looking for ways to improve quality and productivity. Last year, we completed the second phase of our planned expansion plans in Loudon, Tennessee by adding a brand-new distribution center and expanding the footprint of our primary manufacturing plants through the addition of a new mezzanine level that now houses all of our cutting and sewing operations. The third and final phase will be to enlarge the capacity of our rigging and final detail lines by the end of our fiscal year. This will increase our manufacturing capacity by 1,000 boats per year and take it to 5,000 boats annually. Ritchie Anderson and his team have done an excellent job in managing this multi-phase expansion. As we discussed, a primary reason we have a quality logistics and cost advantage is our strategy of vertical integration. We began our vertical integration strategy in 2009, when we became the only manufacturer producing our own towers and we are still the only one. It is a cost advantage; it is a line advantage, a quality advantage and the supply chain advantage. Each year we have expanded our vertical integration and brought more of our parts production in-house. In this current fiscal year, new transition many of the parts previously made in Asia to our California facility. This has given us better control over the quality of our products and the managing of our demands and supply. For fiscal 2015, I am very pleased to announce the next phase of our highly successful vertical integration strategy. Beginning with our fiscal 2016 year, in July, Malibu will be manufacturing all trailers for Malibu and Axis products. We began acquiring equipment in December and we have been investing CapEx, hiring personnel and planning our new trailer production lines. This will be a good return on investment with less than a two-year payback. As you know, we closed the acquisition of our Australian license business in late October and the initial integration is progressing to plan. We have hired a new General Manager, who is now on the ground to lead that business and we are excited about the growth opportunities, not only in Australia and New Zealand, but also in Asia longer-term. Commenting for a moment on the Nautique litigation, as a reminder the trial in regard to litigation we Nautique [ph] alleging infringement of three of our patents and seeking monetary and injunctive relief. I want to make sure that everyone is clear on this. We are the plaintiffs, defending our patents. As such, we are seeking monetary damages and relief of the infringement, which we believe has occurred. If we do not prevail, there is no additional monetary risk other than any appeal. There is no risk to Surf Gate or Malibu's portfolio of products. We are the plaintiff. Currently, we are in the final stages of preparing for this trial. Recently, the court rescheduled the pre-trial conference from the 2nd of February to February 18th. As a result, the trial has also been rescheduled to begin on March 9th now. Last, let me update you on our market share. As we discussed on our last earnings call, we look at the retail sales and registration data and calculate our market share on a trailing 12-month basis. Once the full information for the quarter is released. We believe, this is the most accurate consistent and effective way to track this data because it would lose the monthly and the seasonal volatility from the number and is based on full actual data. Now, for the quarter ending September 30th, unfortunately, that SSI data was missing three significant states, Georgia, Illinois and Oregon. These are three great big states for both, the industry and for Malibu. As a result, we don't have as much information as we would like to have, but based on what we do have in our best projects for calendar year 2014, we think our market share remains flat when compared to calendar 2013. The market grew approximately 10% and our wholesale shipments domestically also grew about 10%, so we pace with that market. Generally, it takes about six months for a new product to get traction in the marine industry, and with boat shows being the primary driver, so we expect that our new boats and our innovative features to begin to drive small additional market share gains over the next 12 months. In closing, let me reiterate that we are pleased with our record-setting second quarter results. These results were in line with our internal plans and our full-year outlook remains unchanged. The boating industry is continuing to recover and Malibu is performing well at the boat shows. As said earlier, we continue to see a growing number of signs that this momentum is continuing in the United States. We have the most compelling line up of new models and features and we have the best dealers in the world. Together, we are confident in our ability to continue to deliver sustainable and profitable growth. I will now turn the call back over to Wayne, who will take you through the second quarter results in more detail.
Wayne Wilson: Thanks, Jack. Net sales in the second quarter increased 26.3% to $55.5 million. Unit volume increased 27.9% to 847 units and included 60 units from the Australian acquisition. Both Malibu and Axis performed well in the quarter and the units' breakdown was 300 Axis boats and 547 Malibu boats. The heavier mix of Axis boats was driven by the redesign of the number one selling Axis boat of all time, the A22, and the launch of the new Axis T23. Net sales per unit decreased 1.3% to $65,500 and the decline was driven by the addition of the Australian units. Excluding the Australian units and the criminal sales, net sales per unit in the U.S. increased 1.6%. This was in line with our plan for the quarter and in spite of the mix shift towards Axis in the quarter. The increase was primarily driven by year-over-year price increases and an increased demand for optional features. Gross profit in the quarter increased 21.1% to $14.2 million and gross margin declined 110 basis points to 25.5%. When you adjust gross margin for $600,000 of one-time increases in cost of goods sold related to the Australia acquisition it was 26.6% for the quarter and flat year-over-year and more consistent with our expectation. Selling and marketing expense increased 34.5% to $2 million from $1.5 million last year. As a percentage of sales, selling and marketing increased 20 basis points to 3.7%. The increase was primarily the result of increased sales volume, incremental selling and marketing expenses related to Australia and the timing of certain expenditures. General and administrative expenses excluding amortization, increased $1.5 million to $4.6 million. This included $1.9 million of non-operating expenses related to litigation, the Australian acquisition and follow-on offering. Excluding these non-operating expenses, G&A expenses increased to $2.7 million from $1.9 million last year. The increase was primarily driven by the addition of Australia and incremental costs related to being the public company, including stock-based comp directors and officers insurance an additional professional fees. Adjusted EBITDA for the quarter increased 19.9% to $10.4 million and adjust EBITDA margin decreased 100 basis points to 18.8%. This results was fairly consistent with our expectations given our incremental public company expenses and slightly lower margin related to Australia in the quarter. If you adjust for the incremental public company adjusted EBITDA grew about 25%. Second quarter non-GAAP adjusted fully distributed net income totaled $5.8 million or $0.26 per share. This is calculated using the normalized C Corp tax rate of 35.5% and fully distributed diluted share count of approximately 22.6 million shares. For reconciliation of adjusted and adjusted fully distributed net income to GAAP metrics, please see the tables in earnings release. Our second quarter results were consistent with our internal projections and our outlook for the full-year is unchanged. While we do not provide detailed earnings guidance, our fiscal outlook is predicated on a number of factors including the following an increase in our U.S. segment unit volume in the mid to high single-digit, plus approximately 180 units for Australia. We expect unit volume growth to accelerate sequentially through the third fiscal quarter peaking in the low to mid double digits. From a mix perspective, Axis is expected to represent a little more than 30% of total unit volume. For our fiscal Q3 that we are currently in, Axis quarter mix is currently under 30% For the first half of the fiscal year, our U.S. net sales per unit is up 4.6%. We continue to expect net sales per unit in the U.S. will be up in the low to mid single digits for the full fiscal year. Net sales per unit on a consolidated basis, after accounting for Australia, is expected to increase in the low single-digit growth range for the full fiscal year, we continue to expect to see a modest improvement in gross margin driven by productivity gains in the back half of the year. Legal expenses relating to PCMW and Nautique litigation are still expected to be in the $3.5 million to $5 million range. Since our IPO occurred in late January of 2014, we will not only anniversary incremental expenses of being public company until our fiscal third quarter. Net-net, we expect adjusted EBITDA margin up slightly for the fiscal year. This is despite the fact that this will be our first year with a complete 12 months in public company expenses. On the first half second half basis, we expect the year-over-year adjusted EBITDA margin to decline slightly in the first half, due to the incremental public company cost and an increase modestly in the second half. The consolidation of the Australia business is expected to add approximately 180 units, $8 million in net sales and $1 million to adjusted EBITDA and a penny or two to fully distributed net income per share. Finally, regarding capital expenditures, we are looking to spend a little more than we initially projected, because the incremental investments to produce trailers in-house next fiscal year. For fiscal 2015, our CapEx budget is now around $6 million, including less than $1 million in CapEx for the trailer business. In closing, I just want to reiterate that we were pleased with our second quarter results. These are in line with our expectations and our outlook for fiscal 2015 is unchanged. We feel very good about the trend both, across the industry and in our business and believe we are well-positioned heading into the peak retail selling season. With that, we would like to open the call to your questions. Operator?
Operator: Thank you. [Operator Instructions] The first question is from Tim Conder of Wells Fargo Securities. Your line is open.
Tim Conder: Thank you. Good morning. Gentlemen, a couple of things here, Jack, if you were to give us a little bit of color regarding your market share. As we look over here through the upcoming selling season and granted maybe last year you were a little more tilted towards newer refresh products with Axis and now it appears a little more balanced should we anticipate the Malibu brand showing a little bit stronger share momentum. Then also did the geographic, I guess, some of the weather issues into the factors on the Malibu brand over the last year.
Jack Springer: Yes. To answer your first question, Tim, as it relates to Malibu versus Axis, I think that expectation is something could be considered. What we saw is in our year-end sales event, we did see a preponderance of Malibu over Axis. As we go forward into the future, we are going to bring it back more in line. We believe that we now have a brand and Axis that is fully developed with this five models and so that is going to be more even going forward and what we bring out between Malibu and Axis, so I think that your supposition would be correct in that regard. As it relates to whether, I think what we are seeing right now are probably very good signs that we are going to have a normal pattern this year and as a result of that we will have a normal selling season versus it all being pushed into a four-month period versus a five to six-month period.
Tim Conder: Okay As it relates to the foreign currency Wayne, we had tried and anticipated maybe the partial year impact here of the Australia acquisition would maybe add about $0.03. Now you are saying closer to one. Is that all currency or it sounds like everything otherwise was going fairly much as planned.
Wayne Wilson: Yes. I think the $0.03 may have been just a hair raising for last call we said $0.02 and now we are in a combination of currency etcetera. We are saying, a penny or two, so in terms of. I think, we feel like Australia business is doing well. Obviously, the national currency for that entity is the Australian dollars and so that we do have a translation issue there that is a small headwind, but thankfully it is a partial year and the translation issue is the change in kind of the dialogue there.
Tim Conder: Okay. Last question, gentlemen. I know you have never had this question before, but if you could just give us a little color on the balancing of the oil economy fallout versus the benefit of lower fuel prices. I know it is a common theme across many areas here in power sports.
Jack Springer: Absolutely, we have seen that question. Our earnings overall domestically is going to be a net positive. If we look at the markets that are impacted, we are primarily looking Houston, which is a smaller market for us, less than 1.5% of our volume. If we look at the rest of Texas, Dallas and Austin are still going very strong. They are very diversified, so we feel from that perspective that there will be a downward trend as it relates to Houston and a couple of other areas, but there are overwhelming trend of lower gas prices is strong, so I think that domestically we are probably going to see a net uplift. One way to think about that is when one of our customers goes out and fills up their boat with fuel. They are going to save over $100 based up on the gas prices, so we think that that is calling for more and more usage and we also believe that it has the possibility of bringing new customers first time buyers into our product.
Tim Conder: Jack, one last, any colors as far as your exposure to Western Canada in particular that would seem the area that would be the most negatively impacted out of the U.S. and Canada as a whole?
Jack Springer: Yes. We have not seen the oil impact. I think that they are probably going to be mellow based on the early returns of what we are seeing. To-date it has been more from a Canadian point of view around the currency.
Tim Conder: Okay. Great. Thank you, gentlemen.
Operator: Thank you. The next question is from Joe Hovorka of Raymond James Your line is open.
Joe Hovorka: Thanks, guys. A couple of quick questions and just want to maybe piggyback up the last one there. If I understand right, all your international sales except for Australia are done in U.S. dollars, so with weakening currency you are effectively getting the price increase in those markets, I think that you are alluding to in Canada. A, can you just confirm that? Then, B, maybe talk a bit about what demand looks like now I know you have not changed your guidance, but whether or not if you look at your makeup of that guidance versus three months ago that is, are you expecting internationally maybe slightly weaker, domestic being slightly stronger and that translates into no change or how are you thinking about markets outside the U.S. ex-Australia?
Jack Springer: Okay. Joe, the first question I can't confirm that in that correct, as it relates to the market themselves, we expect that because of the strength of the dollar I should say that our international is going to be affected somewhat, but what we are seeing, what we believe is that domestically that strength is going to be able to compensate for it, which gives us a lot of confidence that certainly we can hold our numbers where they are at. We are early in the boat show season and it will prove itself out, but right now the boat shows are going very well and the domestic market seems to be very strong and one of the feedback points that I am getting from our dealers is that the leads are higher quality leads perhaps than in past years.
Joe Hovorka: Do you any idea of idea of like what the elasticity of those demands we are seeing, I mean if you get a 10% price increase or should we translate into a 5% declining units or something different?
Wayne Wilson: Yeah. It is hard to guess upon that, because it affects so many different areas. For example in Asia despite everything going on we are seeing tremendous progress there on a small scale. In the case of Australia, we believe that we are much better advantaged than our competition, because they are making boats and shipping them over to Australia, so the impact from that Australian to the dollars is much more significant on them than it is on us.
Joe Hovorka: Okay. Just because you mentioned Asia, that would still be manufactured here and shipped there, correct? That's healthier than Australia.
Jack Springer: We will begin at later this year building in Australia and shipping into Asia, but right now it is built in U.S.
Joe Hovorka: Okay. Do you have the units that Australian did last year in this quarter, if we did 60 this year?
Jack Springer: I am sorry. Would you repeat that?
Joe Hovorka: What were the units shipped out of Australia last year in this quarter?
Jack Springer: We don't have that number here. It is also a stub. It is obviously a stub period too, so I do not have a comparable number for you.
Joe Hovorka: Okay. Then on your trailer investment, is that where you will be producing all trailers for yourself by '16 or you will still be sourcing stuff and outsourcing stuff?
Jack Springer: No. We will be manufacturing 100% of our trailers for both, Malibu and Axis.
Joe Hovorka: Okay. Are you doing in Tennessee or California?
Jack Springer: Yes. In Tennessee, the new distribution center that we have built, we built out room for other vertical integrations, so our trailers will be in that facility.
Joe Hovorka: Okay. Then last question. You talked about your share through September. I know the December quarter is small from retail sales standpoint, but any commentary on where your retail sales were in the December quarter?
Jack Springer: Yes. As I mentioned in my comments that I think the retail market approximately was about 10%. We also, from units' standpoint were up about 10%, so we kept pace with that market and we believe for that quarter that the market share once Georgia and Illinois and Oregon reported is going to be flat.
Joe Hovorka: Okay. I am sorry, so that plus-10 for industry and yourself was for the December quarter.
Jack Springer: Yes.
Joe Hovorka: Okay. I had thought you said that was through September. Okay. That's all I needed. Thanks, guys.
Operator: Thank you. [Operator Instructions] The next question is from Gerrick Johnson of BMO Capital. Your line is open.
Gerrick Johnson: Good morning. In your release you mentioned that net sales from Australia were $4.4 million. I was wondering if that contribution, does that net out the royalty you are getting as well as the revenue you are getting from parts and excluding that what was I guess the net-net contribution from Australia.
Jack Springer: In terms of the Australian entity itself the $4.4 million is a number that is what we and what they have record. That is not the total contribution to the business, so if take the $4.4 million that we quoted and you divide it by the 60 units, you get about $73,000 and really what you are getting is $40,000 on an incremental basis.
Gerrick Johnson: You did not calculate or removed eliminations from that number.
Gerrick Johnson: Okay. On the trailer business what makes building trailers in-house more economical than outsourcing?
Jack Springer: As with any vertical integration, Gerrick, what we are doing is we are eliminating another layer of cost, so as we go back and we talk a lot about the tower that we began in 2009, what that did for us and what we believe it does for us on trailers as well is we are going to be able to control that design, we are going to be able to control the quality, the matching of demand to the, which are all areas of efficiency for us. Our goal is to deliver to our dealers the best trailer that we possibly can and we will be looking at ways to innovate things over time, so I think that along with the efficiencies, the additional impact on the ability to control something as large as a trailer is a definite benefit for Malibu.
Wayne Wilson: Gerrick, from an economics perspective, obviously in scenario that we have today there is two layers and margin embedded in that what we will be doing is a balancing act here of being able to deliver a high-quality trailer to our dealers at a better price and be able to make a little bit more money on a per trailer basis, we are trying to make sure that all constituencies here come out better off in terms of our dealers, our retail customers and the company as a whole..
Gerrick Johnson: Great. Thank you for the detail and perhaps I can sneak one more in there. Inventory and factory looked up about 34 percentage, can you just talk about the inventory there and then perhaps the inventory in the channel as well. Thank you.
Jack Springer: Inventory in factory up 34% is kind of a not comparable number. Australia carries a bit of inventory. Obviously Australia is getting consolidated into that number and they carry a heavier stock of inventory, because of, A, they are distant from us, B, they also are owning the inventory that is sitting on the water, so that is a big driver of that inventory increase, so that is one. Then two, in terms of inventory in the channel, we internally track that on a monthly basis and build that up and look at the weeks of inventory and we are currently sitting right on top of the historical years the number of weeks of inventory at this point in time in the year.
Wayne Wilson: More from outside to dealers and getting ready for the boat show season, I can tell you that our dealers were more positive about inventory levels than they have been in the last few years. They felt very well positioned going into the boat shows with the right amount of stock.
Gerrick Johnson: Great. Thank you, guys.
Operator: Thank you. The next idea question is from Mike Swartz of SunTrust. Your line is open.
Mike Swartz: Good morning, guys.
Jack Springer: Good morning.
Mike Swartz: Just a quick question in regards to guidance, and Wayne, I think you gave some granularity in terms of just the cadence of unit volume throughout the year and I think you said that unit volume should peak in the third quarter kind of a low to mid double-digit unit level. Was that what I heard? I mean, could you give maybe a little more color around low to mid double-digit just give that you came off of quarter where you did 28% unit volume. I mean, does that mean if we are peaking in the third quarter to any closer to 30%, 40%? I am I thinking about that wrong?
Jack Springer: That is that [ph] unit volume cadence discussions is specific to the U.S. volume, so when we look at what happened in respect to volume in the in the current quarter, you are going to see sitting in the 787 unit or thereabouts domestically.
Mike Swartz: Okay.
Jack Springer: Right, and that is the current quarter. I think, you are going to see a nice growth in Q3 domestically as well and you add Australia four quarter of Australia on top of that.
Mike Swartz: Okay, so a in terms of I think the U.S. volume was up what, mid-teens or so in the second quarter?
Wayne Wilson: Yes, and what I would say is you are going to see the U.S. be about the same and about the same in Q3 and then add-on top of that the Austria.
Mike Swartz: Okay. That is perfect. Then I just wanted to touch and follow-up on some of the trailer conversation. If I go back, years ago I think it was 2009, you guys started in-sourcing your tower production, you acquired your tower manufacturer in California, a big part of what that did for you aside from your controlling kind of the production and some of the innovation behind it, was there was a pretty big margin gain on that as well and I do not remember what the exact number was. I think it was maybe $1,000 a unit. When we look at the trailer opportunity kind of you two, three years out, is there a similar margin story or margin play behind that as well?
Jack Springer: Well, actually it won't that big. It won't be the 1,000 units that you talked about. There will be some uplift over the next two to three years. It could be 300, 400, 500 units somewhere, in that neighborhood, but we certainly would not have gone about diversifying and bringing trailers in-house if we did not think that it was going to return our investment very quickly and be accretive to Malibu.
Mike Swartz: Okay. That is great. Finally, in the trailers, how do you manage that relationship with what your current third-party on the trailer side knowing that you are moving to do this yourself in-house over the next 24 months or so? I mean, how do you view that relationship at least in the near-term?
Jack Springer: That is a great question. I will comment and then I will Ritchie Anderson to also comment. It has gone extremely well. We have always had a very good relationship with our trailer manufacturer and they are aware of this. When we talked with them about it was a very good conversation. They were highly supportive. They understood the reason and the rationale and we have worked together very well since that point in time, but I will ask Ritchie to comment as well.
Ritchie Anderson: Yes. We stayed very close to them told them upfront when we started this very early on what our intentions were in the way we won't impact their business negatively, so we have given them time to pickup business and we are staying very close with on our timing and working closely with them on [ph], so do not have any negative to them or us.
Mike Swartz: Okay. Great. Thanks for the color guys.
Operator: Thank you. The next question is from Gerrick Johnson of BMO Capital. Your line is open. Please check to see if your line is on mute.
Gerrick Johnson: Sorry about that. Just a question on Correct Craft and PCM mentions they bought that business last late year and their competitor and also defendant. Any worry about disruption of the flow from those guys?
Jack Springer: No. We have had discussions with PCM, and we have also had round of our discussion with Nautique as well and with that we are not concerned about that. PCM is being left as an entity that is operating they are expected to be profitable. They are very plugged into what we are doing and trying to support us in every way possible, so we are not concerned about that.
Mike Swartz: Great. Thank you.
Operator: Thank you. There are no further questions in queue at this time. I will turn the call back over for closing remarks.
Jack Springer: Again, we had a very, very successful quarter, a record quarter that we are very pleased with. I want to thank the Malibu team, I want to thank the dealers, I want to thank all of the employees, because without those three constituencies, Malibu could not do what it does. We are very pleased with where we are at and we are very excited about where we are going, where the marine industry is today. I want to thank each one of you for being on the call and wish you a very god day. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect. Good day.